Operator: Hello and welcome to the Finance of America Fourth Quarter 2022 Earnings Call. My name is John and I’ll be coordinating your call today. [Operator Instructions] I’ll now hand you over to Michael Fant, Senior Vice President, Finance to begin. Michael, please go ahead.
Michael Fant: Thank you and good afternoon, everyone. Welcome to Finance of America’s fourth quarter and full year 2022 earnings call. With me today are Graham Fleming, President and Interim Chief Executive Officer and Johan Gericke, Chief Financial Officer. As a reminder, this call is being recorded and you can find the earnings release and presentation on our Investor Relations website at www.financeofamerica.com. In addition, we will refer to certain non-GAAP financial metrics on this call. You can find reconciliations of non-GAAP to GAAP financial metrics to the extent available without unreasonable effort discussed on today’s call in our earnings press release and presentation on the Investor Relations page of our website. Also, I would like to remind everyone that comments on this conference call may be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding the Company’s expected operating and financial performance for future periods. These statements are based on the Company’s current expectations and are subject to the Safe Harbor statement for forward-looking statements that you’ll find in today’s earnings release. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to a number of risks or other factors, including those that are described in the Risk Factor section of Finance of America’s annual report on Form 10-K for the year ended December 31, 2021, originally filed with the SEC on March 15, 2022. As such risk factors may be amended and updated in our subsequent periodic filings with the SEC. We are not undertaking any commitment to update these statements if conditions change. Please note these are interim period financials and are unaudited. Now, I would like to turn the call over to Finance of America’s President and Interim Chief Executive Officer, Graham Fleming. Graham?
Graham Fleming: Thank you Michael. Good afternoon, everyone and thank you for joining us on our fourth quarter and full year 2022 earnings call. We're going to start by briefly discussing our financial results for the quarter and full year. I will then spend our remaining time focused on our business structure following the completion of the substantial transformation we started last year. During the fourth quarter, we recorded $182 million of net loss or $0.90 per fully diluted share. On an adjusted basis, we recognized an adjusted net loss of $56 million in the fourth quarter and $61 million for the full year. The adjusted net loss for the year is entirely attributable to the losses associated with the wind down and operating losses of our mortgage originations business, as well as declining volumes in commercial and lender services, on a pro forma basis, when we strip out mortgage originations, commercial originations and lender services, FOA recognized $53 million in adjusted net income for the year. When we think about these results in the broader context of the residential mortgage market, we believe it prudent to focus on streamlining our organization and investing in core businesses where we have significant competitive advantages. As such, I want to walk you through the steps we've taken over the past six months as part of our transformation. In October, 2022, we announced our decision to discontinue our forward mortgage origination segment across both retail and wholesale channels. This wind down is now complete, and this segment will be reported as discontinued operations beginning in 2023. In February, we entered into an agreement to sell the title insurance business up in center for $100 million. As a complimentary service to our forward origination business, this sale is consistent with our decision to focus on opportunities where we have the greatest synergies and long-term growth potential. We are working through regulatory approval now and expect to close this transaction during the second quarter. Upon completion, we expect the influx of capital will positively contribute to the balance sheet. Finally, three weeks ago, we announced the sale of certain assets of Finance of America, Commercial, our subsidiary that offers residential, real estate investment loans. The deal is expected to close in March, and we are in the process of closing out the remaining pipeline of the business. We made these decisions to account for uncertainty in the residential mortgage market. However, this did not stop us from prioritizing investments in high growth businesses like Reverse. Benefiting from strong demographic and economic tailwinds, our new strategic direction is fully centered on helping Americans achieve their retirement goals. With many older Americans assets tied up in their homes, they often like the resources to fund their day-to-day living in retirement. We firmly believe that home equity can help more Americans achieve their financial goals. By providing an innovative suite of solutions to our customers, we can make people's retirement goals a reality. To that end, in early December, we announced our intention to acquire certain assets and liabilities of Reverse mortgage lender AAG, which upon closing will make the combined company the largest reverse originator in the industry. AAG is the largest heck originator, while we are the largest proprietary originator, making it a strategic fit within our company and our focus. AAG also has a broad direct consumer market presence that reaches more than 10 million consumers annually. Bringing this under the FOA umbrella will expand our ability to educate more Americans about levering home equity while mapping out their retirement plans. The deal recently received regulatory approval and we anticipate closing on March 31. We expect the acquisition to be immediately accretive to both tangible book value and earnings, and we look forward to providing more details upon completion. By simplifying our business structure and focusing on its inherent efficiency, we will be one; well positioned for long-term growth and two, set up to be the preeminent choice for Americans looking to achieve their retirement goals using their home equity. With our new structure, we will be able to offer solutions that truly set us apart in the market, enabling us to better serve our clients and solidify our position as a leader in the industry, beyond our traditional non-agency reverse product, we continue to look at innovative products to bolster our reverse business. In February, we announced the relaunch of HomeSafe second, the only second lien reverse mortgage product that allows homeowners 55 and older to access their home equity without making monthly payments. With senior home equity, reaching a record $11.8 trillion in the third quarter, our products are well-positioned to help seniors utilize the increased value of their homes. Turning to our business segments, our reverse business continues to set a high bar in the industry as the premier wholesale origination platform. In 2022, our reverse business originated $4.8 billion in funded volume and produced $128 million in pre-tax income. As we move into the direct-to-consumer space under the AAG brand, we will be able to connect directly with our customers to better understand their needs and how we can find the right solution for them. FOA's portfolio management and capital markets capabilities play a crucial role in the company's operations, enabling the development of innovative proprietary products and connecting FOA's originated loans to a growing number of large institutional investors. During the last four months, our team has successfully completed four securitizations for over $1.4 billion in proprietary reverse volume during a challenging market. This has allowed us to significantly de-lever our balance sheet. Finally, at the corporate level, we've taken proactive steps to streamline our operations and optimize our infrastructure to align with our new business model. The rightsizing of the business will allow us to operate more efficiently, reduce costs, and improve overall performance. On a run rate basis, we anticipate saving between $80 million and $100 million annually when compared to peak costs during 2022. In short, 2022 was a transformative year for the company. By divesting our non-core operations and adding to our reverse business, we are positioning ourselves for future growth and success. These transactions are an important step in our transformation as we focus on ongoing efforts to achieve our long-term goals and support our strategic direction. With the extensive changes we have made, we are confident that 2023 will bring more opportunity and we are excited to see the continued evolution of our business. And with that, I will pass the call to Johan to discuss the financials.
Johan Gericke: Thank you, Graham. I will provide a brief overview of our financial results before I dive into specifics on the quarter and the full here. Turning to the operating results, the overall company recognized an adjusted net loss for the quarter and the year, which was entirely driven by the wind down and operating losses of our Mortgage Origination segment and declining volumes in the commercial and lender services segments. If we eliminate the impact of those businesses, the company would've generated adjusted net income of $53 million for the year. You can see the buildup of these results on Slide four of the earnings presentation available on our Investor Relations website. From a balance sheet perspective, cash and Q4 decreased to $97 million solely due to the operational losses in our mortgage origination segment. We remain committed to preserving liquidity in this volatile environment. Book value as of December 31, stands at $405 million of which tangible net worth was $30 million. Throughout the fourth quarter and year-to-date, we have taken steps to deliver and strengthen the balance sheet. The acquisition of AAG and the divestitures of our title and commercial businesses will add significant tangible net worth and liquidity to the balance sheet. During the last six months, our capital markets team has been able to securitize approximately $1.4 billion in proprietary reverse loans amidst a very challenging market. This has allowed us to materially reduce the inventory of loans health for investment and related funding liabilities. We expect modest losses in the mortgage business in Q1 2023, and going forward, losses will essentially be eliminated as we completed the wind-down in the first quarter of this year. As Graham mentioned, we sold the operating assets of the commercial business and are actively working to sell the remaining loans and other assets. Since the end of 2022, we have sold over $200 million in loans and have committed trades to sell the majority of the remaining loans by the end of the first quarter. Finally, the acquisition of AAG strengthens the company in a number of ways. First, it includes a $30 million equity raise from our majority shareholders to strengthen capital and liquidity. Also, the acquisition will result in the issuance of roughly, roughly $50 million in new equity to acquire the business at a potentially below tangible book. And lastly, we anticipate substantial cost and revenue synergies from the elimination of overlapping functions and an expanded sales force and product set, which should result in operational benefits to FOA. Overall, the steps we have taken and the actions in process will strengthen Finance of America's balance sheet and improve operating results through 2023. Turning to our individual reporting segment, and as mentioned earlier, during 2022, mortgage originations recorded a $98 million adjusted net loss. Beginning in Q1, these results, excluding home improvement, will be recorded as discontinued operations in accordance with GAAP. For the year, our commercial segment recognized a pre-tax loss, excluding any impairment of intangibles and other assets of $26 million, while lender services recorded a pre-tax loss, excluding any impairment of intangibles and other assets of $25 million. Beginning in Q1, both segments will be recorded as discontinued operations in accordance with GAAP. We expect the financial impact of these segments to be materially resolved by the end of Q2. Our Reverse segment originated funded volumes of $4.8 billion in 2022 and generated pre-tax income of $128 million despite a material decrease in revenue margins due to rising rates and spreads. Finally, looking at our Portfolio Management segment, pre-tax income for the year was negatively impacted by non-cash fair value marks on our assets. In conclusion, on a pro-forma performer basis, excluding the wound down and divested businesses, the company recognized adjusted net income of $53 million for the year, and we anticipate that the steps we have taken to expand our Reverse business, streamline the organization and de-risk our balance sheet will lead to improved performance in 2023. With that, let me now hand it back to Graham for closing remarks.
Graham Fleming: Thank you, Johann. As we reflect on 2022, it is clear that the company has taken substantial steps to improve its trajectory. Our current focus is on completing the announced transactions and successfully integrating the AAG direct-to-consumer platform into our operations. We look forward to providing additional updates on our next quarterly call. Looking ahead to 2023, we remain bullish on the earnings power of the organization; however, we do expect there will be some volatility in our near term performance as we navigate the recent business transformation. While these actions will impact our first half results, we anticipate our performance will smooth out in the second half of the year. During this time, we will remain both nimble and dynamic to meet the needs of the evolving business with a focus on completing the steps we have laid out today to build a stronger foundation for Finance of America. With our new model as a retirement-focused home equity solutions business, the future looks bright for both the company and our stakeholders. And with that operator will open it up for questions.
Operator: [Operator instructions] Our first question is from Stephen Laws with Raymond James. Your line is now open.
Stephen Laws: Hi, good afternoon. Graham, I want to start with the Reverse business and kind of what you're seeing there. Volumes for Q4, down sequentially a decent amount. I think you mentioned reference rates in the prepared remarks, but can you talk about what -- we're almost done with Q1. So can you talk about what you've seen for Reverse volumes year-to-date, and how do you expect closing the AAG deal? How will that impact volumes as you put those two platforms together for Q2? And then the impact on margin, I guess follow up with that. Johan, you mentioned some operational cost synergies there as you work that in. Kind of how long will it take to achieve those expense synergies from the AAG platform?
Johan Gericke: Thank you, Steven. Hope all is well. Yes, so we have seen -- we have seen volumes come down in the Reverse space. As I mentioned, we have been focused on delivering the balance sheet, right? We, to remind, we had a bankruptcy in December, right? We had some uncertainty around securitization execution. So we were primarily focused in Q4 and Q1 on de-levering the balance sheet and moving those assets into securitizations. We have introduced, as I mentioned, a second lean product, which allows a senior to retain the current low coupon first, which is an amortizing payment, and the second loan will be a slower accreting balance. So, in the long term, we think that this option is actually, it enhances the credit quality of the product, right? But we've just recently introduced that in February, and we're looking to educate our brokers and our correspondence on the benefits of this particular product. So yes, we have seen volume come down. We've been more focused on the balance sheet than new originations. We think as the interest rate market here stabilizes and spreads, return to a more normal level, we'll be able to improve those prices. When it comes to AAG, they have not been originating our proprietary product for the last couple of quarters. So we do expect some volume from that acquisition. We do expect that to add to our current volume levels and expect to be at something like a $100 million of proprietary product in that space, post the AAG acquisition.
Stephen Laws: Great. And as a follow up, I know a couple of segments I'll move to discontinued ops, starting with Q1, can you talk about, I think adjusted net income was minus $6 million on a pro-forma basis for Q4. Do you expect that to troughed -- has it troughed, will we profitable there in Q1? Kind of how do you expect to see kind of that A&I build through the year as we look at things on a pro-forma basis moving forward?
Johan Gericke: Yes, Steven, it's Johan. Hi there. You asked earlier also just on the synergy. So, as I -- as we mentioned, we expect the AAG deal to close at the end of the quarter. We've been planning a transition, but obviously the transition will be in full flight once we've closed. And so I would expect over the course of Q2, both the revenue and the expense synergies to start materializing over the course of Q2. So that being said, Q1 is probably going to be the trough for this year for sure, as we pick up the volume and start realizing the synergies in Q2 from the AAG transaction, that'll obviously start driving earnings. And so you should think of the earnings kind of profile to be trough and Q1 for the year, Q2 better, and then in Q3 and Q4 we'll obviously have from the reverse side, the business fully integrated and working and achieving synergies.
Stephen Laws: Great. And one final one, if I might. Graham, you've moved a couple of businesses that you don't view as core. When you look at what you have left, is there anything left that you think you need to wind down or maybe look to monetize other business lines or kind of, do you feel like you've largely completed that process at this point? Thanks.
Graham Fleming: Nothing imminent, Steven. We think we've completed the majority of the divestitures, but there's nothing else imminent this point.
Stephen Laws: Great. Thank you.
Operator: There are no more questions, so I'll pass the call back over to the management team for closing remarks.
Michael Fant: Thank you, everybody for joining our call, and we look forward to updating you on our next earnings call in May.